Operator: Greetings, and thank you for standing by. Welcome to the CVD Equipment Corporation Second Quarter 2025 Earnings Call. As a reminder, this conference is being recorded. We will begin with prepared remarks followed by a question-and-answer session. Presenting on the call today will be Emmanuel Lakios, President and CEO and member of the CVD Board of Directors; and Richard Catalano, Executive Vice President and Chief Financial Officer. We have posted our earnings press release and call replay information to the Investor Relations section of our website at www.cvdequipment.com. Before we begin, I would like to remind you that many of the comments made on today's call contain forward-looking statements, including those related to future financial performance, market growth, total available market, demand for our products and general business conditions and outlook. These forward-looking statements are based on certain assumptions, expectations and projections and are subject to a number of risks and uncertainties described in our press release and in our filings with the SEC, including, but not limited to, the Risk Factors section of the company's 10-K for the year ended December 31, 2024. Actual results may differ materially from those described during this call. In addition, all forward-looking statements are made as of today, and we undertake no obligation to update any forward-looking statements based on the new circumstances or revised expectations. Now I would like to turn the call over to Emmanuel Lakios.
Emmanuel N. Lakios: Operator, thank you, and good afternoon, everyone. Thank you all for joining us today to discuss our second quarter 2025 financial results and other important company developments and pertinent information related to our business. Your thoughts are important to us. We look forward to your questions in our Q&A session. Our second quarter 2025 revenue was $5.1 million, representing 19.4% decrease from prior year period and a decrease of 38.5% as compared to our first quarter of 2025. Our year-to-date revenue of $13.4 million was 19.2% higher than the prior year period. Our orders for the second quarter were $4.5 million, supported by strong demand in our SDC segment for gas delivery equipment. Orders for the company for the first 6 months of 2025 were $7.3 million as compared to $16.9 million for the first 6 months of 2024. Our bookings and revenue during the second quarter reflected several factors, including the uncertainties related to proposed tariffs, reduced U.S. government funding for universities, the timing of the adoption of our products and the dynamic nature of the emerging markets we serve. We are actively monitoring the evolving customer demand, geopolitical landscape and potential tariff impacts as we continue to manage our operating expenses. In early July 2025, we shipped our first CVD4000 silicon carbide coating reactor system to an industrial customer. The system will be used by our customer to apply a silicon carbide coating on OEM graphite components. The remaining 2 systems of the 3 system order are planned for shipment over the next 12 months. Our backlog as of June 30, 2025, was $13.2 million, down from $13.8 million at March 31, 2025. We believe CVD Equipment Corporation is well positioned to provide solutions across our key markets, aerospace and defense, industrial with applications such as silicon carbide on graphite, silicon carbide high-power electronics and electric vehicle battery materials. In our aerospace and defense market, our key product offerings include chemical vapor and filtration systems used in the production of ceramic matrix composites for commercial jet engines and for silicon bond coat systems for CMC components. Our industrial market customers include silicon carbide on graphite coating systems, and we are also exploring potential uses for the nuclear energy market. Related to silicon carbide high-power electronics, our core products are the PVT150 and PVT200 silicon carbide crystal growth systems. In the electric vehicle markets, we are pursuing new opportunities for our powder coat systems, which could be used in the production of advanced anode materials. In 2025, we are shipping several FirstNano systems for microelectronic and carbon nanotube applications. We will continue to support the sales activity and development in these areas. We are committed to our long-term strategy of growing our presence across key markets while maintaining expense management to support our goal of achieving sustained profitability and cash flow. I would like to turn the call over to our CFO, Rich Catalano, who will provide an overview of our second quarter results.
Richard A. Catalano: Thank you, Manny, and good afternoon. Our revenue for the second quarter of 2025 was $5.1 million as compared to $6.3 million for the second quarter of 2024. Revenue from our CVD Equipment segment was primarily driven by 2 customers, one in the industrial sector and one in aerospace. These customers represented 41.1% of our revenues for the quarter. The decrease in revenue versus the prior year quarter was primarily attributable to lower revenue of $0.7 million from our CVD Equipment segment and $0.6 million decrease in revenue in our SDC segment. The decrease in the CVD equipment revenue of 17.4% was principally due to lower revenues from contracts in progress of $1.1 million, offset by higher nonsystem revenue of $0.4 million. The resources we focus on our new product launch of the CVD4000 partially attributed to the reduced revenue from other contracts in progress. While our SDC segment revenue of $1.4 million was lower than the $2.2 million recorded in the second quarter of 2024 due to less contracts in progress, orders for SDC's gas delivery systems were strong during the quarter. Gross profit for the 3 months ended June 30, 2025, was $1.1 million with a gross margin of 21%. This compares to a gross profit of $1.5 million or 24.3% for the 3 months ended June 30, 2024. The decrease in gross profit of $0.5 million was primarily due to lower revenues for contracts in progress at both CVD Equipment and SDC segments, partially offset by higher CVD equipment nonsystem revenues. Our operating loss for the second quarter of 2025 was $1.1 million as compared to an operating loss of $0.9 million in the second quarter of 2024. After other income, which consists principally of interest income, our net loss for the second quarter was $1.1 million or $0.15 per share for both basic and diluted. This compares to a net loss for the second quarter of 2024 of $0.8 million or $0.11 per share for both basic and diluted. As to our balance sheet, our cash and cash equivalents at June 30, 2025, was $7 million as compared to $12.6 million at December 31, 2024. This decrease was principally due to the net loss of $0.7 million for the 6 months ended June 30, 2025, an increase in accounts receivable of $2.8 million (sic) [ $3.6 million ] as we achieved certain contract milestones late in the quarter, a net change in contract assets and liabilities of $2.6 million, offset by noncash items of $0.9 million. Our net working capital at June 30, 2025, was $13.9 million, comparable to what we had at December 31, 2024, of $13.8 million. Our return to profitability is dependent, among other things, the receipt of new equipment orders, our ability to mitigate the impact of inflationary pressures as well as managing planned capital expenditures and operating expenses. In addition, our revenues and orders have historically fluctuated based on changes in order rates as well as other factors in our manufacturing process that impact the timing of our revenue recognition. Accordingly, both orders received from customers and revenue recognized historically fluctuate from quarter-to-quarter. After considering all these factors, we believe our cash and cash equivalents and our projected cash flow from operations will be sufficient to meet our working capital and capital expenditure requirements for the next 12 months. We will continue to evaluate the demand for our products, assess our operations and take actions anticipated to maintain our operating cash to support our working capital needs.
Emmanuel N. Lakios: Rich, thank you for your presentation. Our focus remains on our customer markets, our employees, our shareholders and the pursuit of growth and return to consistent profitability. Your comments and questions are important to us. With the close of our presentation, I would like to open the floor up to your questions.
Operator: [Operator Instructions] Our first question comes from the line of [ Frank Giordano ], private investor.
Unidentified Analyst: I just wanted to ask a question -- a quick question regarding the question I asked about 2 quarters ago. It's about the NDAs that you have. Can you specify if it's a domestic client or if it's an international client because of the tariff environment right now, that might be more important to us to know.
Emmanuel N. Lakios: Can you be -- and I apologize if my memory doesn't recollect the question. This is the first time around 2 quarters ago, I apologize. Can you just rephrase that a little bit when you refer to the NDA?
Unidentified Analyst: Well, I want to know specifically what kind of company it was. And again, probably indirectly, I meant if it was domestic or international client. And back then, we didn't have the problem with the tariffs. But now we do have a problem with the tariffs. So if it's domestic or if it's international, it might make a difference.
Emmanuel N. Lakios: It's domestic. The facility is located here in the United States.
Unidentified Analyst: Okay. But your clients, your clients that signed an NDA with you guys, these clients, are they international clients or they are domestic clients?
Emmanuel N. Lakios: It could be both U.S. domestic as well as North America and then expand to Europe and Asia as well. We have NDA nondisclosure agreements with most, if not all of our clients. But as far as the impact of tariffs on our business, the majority of the orders that we're speaking to are U.S.-based.
Unidentified Analyst: All right. So you won't have no problems with tariffs on those orders?
Emmanuel N. Lakios: Well, the tariffs that we do have clearly affect the cost of goods sold line on the cost of the product, where some of the components come from pumps and things of that sort come from either Europe or from Asia, and there are some import tariffs. So there is some inflationary pressure on the cost of goods sold line, but we're managing through that. And that's something that I spoke about just before.
Unidentified Analyst: And one more thing, just I thought in my thought. On that delivery that you had in July, early July, would that be recorded in the third quarter?
Richard A. Catalano: We recognize our revenue using the overtime concept. So as we manufacture the equipment, we recognize a pro rata amount of revenue. So we've recognized a good portion of that revenue as we've been manufacturing it, the equipment...
Unidentified Analyst: At the time of manufacturing, okay.
Operator: There are no further questions at this time. I'd like to turn the call back over to Emmanuel Lakios for closing remarks.
Emmanuel N. Lakios: Okay. Well, thank you, operator. I appreciate that, and thank you all for joining the call today. We appreciate the attendance on the call and the support and the loyalty of our shareholders and all of our employees. If you have any further questions, please feel encouraged to reach out to myself or to Rich. And this concludes our second quarter earnings call. Thank you.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.